Operator: Good day, ladies and gentlemen. and welcome to the Second Quarter 2012 Unitil Earnings Conference Call. My name is Jeff and I will be your coordinator for today. [Operator Instructions] As a reminder this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. David Chong, Director of Finance. And you have the floor, Mr. Chong. 
David Chong: Good afternoon and thank you for joining us to discuss Unitil Corporation's second quarter 2012 financial results. With me today are Bob Schoenberger, Chairman, President and Chief Executive Officer; Tom Meissner, Senior Vice President, Chief Operating Officer; Mark Collin, Senior Vice President and Chief Financial Officer and Treasurer; and Larry Brock, Chief Accounting Officer and Controller. We will discuss financial and other information about our second quarter on this call. As we mentioned in the press release announcing the call, we have posted that information, including a presentation, to the investor section of our website at www.unitil.com.
 We will refer to that information during this call. Before we start, please note that comments made on this conference call may contain statements that are commonly referred to as forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include statements regarding the company's financial conditions; results of operations; capital expenditure and other expenses; regulatory environmental strategy; market opportunities and other plans and objectives.
 In some cases, forward-looking statements can be identified by terminologies such as may, will, should, estimate, expect or believe, the negative of such terms or other comparable terminology. These forward-looking statements are neither promises nor guarantees, but involve risks and uncertainties and the company’s actual results could differ materially.
 Those risks and uncertainties include those listed or referred to on Slide 1 of the presentation and those detailed in the company’s filings with the Securities and Exchange Commission, including the company’s Form 10-K for the year ended December 31, 2011. Forward-looking statements speak only as of the date they’re made. The company undertakes no obligation to update any forward-looking statements. With that said, I’ll now turn the call over to Bob. 
Robert Schoenberger: Thanks, David. We appreciate you joining us today. I’ll begin my comments by discussing the highlights of our past quarter. We turn to Slide 4 of our presentation. Today we announced a net loss of $400,000 or $0.03 per share for the quarter which is an improvement of $400,000 or $0.05 per share compared to prior year.
 In the first half of this year, we reported net income of $8.6 million or $0.74 per share compared to prior year net income of $7.9 million or $0.73 per share. The improved results in the first 6 months of 2012 continue to reflect the phasing of new rates, but were offset by the unusually mild weather in which there were 20% fewer heating degree days compared to prior year.
 We estimate that the mild weather negatively impacted our earnings by about $2 million or $0.17 per share in the first 6 months of 2012.
 Turning to Slide 5, we continue to see the impact of the 6 base rate cases we undertook across all of our operating utilities over the last 18 months. During the second quarter, we recently concluded our rate case for the New Hampshire division of Northern Utilities, which resulted in an annual base revenue increase of $3.7 million, effective May 1st 2012.
 Collectively, these rate cases provided an increase of approximately 30% to total distribution revenue. As Mark will summarize in a moment, we’ve begun to implement additional rate adjustments to reprove capital cost trackers to recover additions to rate base and other spending that we have continued to make to serve our customers.
 We will also continue to evaluate the financial results for each of our operating utilities to determine the need for future base rate relief. In May of this past quarter, we issued 2.76 million shares of common stock in a registered public offering. The issue price was $25.25 per share, generating approximately $70 million of gross proceeds. We used the proceeds of this offering to contribute equity to all of our utility subsidiaries, repay short-term debt and for general corporate purposes. The equity offering helps us to strengthen our regulated utility capital structure upon which we earn a rate of return.
 In addition, the equity offering positions are a balance sheet to fund organic growth initiatives, particularly the growth in our natural gas system. On Slide 6, we continue to aggressively add customers in our gas service areas. Since December 2008, we’ve added 4,500 gas customers for an increase of 6.5%. In our region, the unemployment rate in New Hampshire is 5.1%, in Massachusetts it is at 6.0% and Maine is 7.5%, all well below the national average of 8.2%.
 We have seen some improvement in economic activity positively influencing our weather-normalized unit sales to both electricity and natural gas. Weather-normalized gas sales were up 3.2% and 1.3% for the second quarter and the first 6 months of 2012 respectively. In our electric operations weather-normalized electric sales were up 3.2% and 2% for the second quarter and first 6 months of 2012 respectively.
 We expect that new customer additions particularly for the gas division will continue to support the trend for continuing sales increases on a weather-normalized basis year-over-year. Now I will turn the call over to Mark who will discuss our financial results for the quarter. 
Mark Collin: Thanks, Bob, and good afternoon everyone. Let me begin by discussing our financial results on Slide 7. Earnings increased by $400,000 for the quarter and by $700,000 for the first half of this year.
 Results for the second quarter and first half of this year were driven primarily by higher natural gas and electric sales margins reflecting higher rates from recently completed rate cases, but partially offset by lower sales volumes and increases in operating expenses.
 As Bob indicated in the first 6 months of 2012, we experienced 20% fewer heating degree days compared to prior year which negatively impacted our sales volumes. We estimate that the weather negatively impacted our earnings by about $2 million or $0.17 per share compared to prior year.
 As a reminder, our financial results reflect the seasonal nature of our utility business. Annual gas revenues are substantially realized during the heating season as a result of higher sales of natural gas due to cold weather.
 Accordingly, the results of operations are historically most favorable in the first and fourth quarters. Sales of electricity are generally less sensitive to weather than natural gas sales, but may also be affected by the weather conditions in both the winter and summer seasons.
 Fluctuations in seasonal weather conditions between years may have a significant effect on our financial results. Looking at natural gas sales margin, they were up $2.8 million and $5.3 million in the quarter and in the first half of this year.
 Sales margins were favorably affected by increased base rate and decoupling revenues from recently completed rate cases and the growth in new gas customers. Partially offsetting these increases were lowered gas therm sales volume which decreased 7.8% and 10.1% in the quarter in the first half of this year.
 The decrease in gas therm sales reflects the effect of milder weather in the 6 months of 2012 compared to 2011. Worth noting that approximately 13% of our natural gas therm sales are decoupled and changes in these sales due to the weather do not affect sales margins.
 Turning to electric sales margins, they were up $1.6 million in both the quarter and in the 6 month period ended June. The increase gas sales margin reflect higher base rate and decoupling revenues from recent completed electric rate cases, partially offset by lower electric sales volumes.
 Total electric kWh sales decreased 2.7% and 3.8% in the quarter and in the first half of this year. The decreases in kWh sales primarily reflect the effect of milder weather in the first 6 months of 2012 compared to 2011.
 Approximately 27% of electric kWh sales are decoupled and changes in these sales due to the weather do not affect sales margins. Usource, our non-regulated energy brokering business, recorded revenues which were down by about $100,000 in both the quarter and the first half of the year also reflecting the milder weather in 2012.
 Turning to operation and maintenance expenses, operation and maintenance expenses increased $2.4 million and $3.6 million in the quarter and in the first half of the year. The increase in O&M expenses in the first half of this year over the prior year reflects lower O&M expenses reported in the first quarter of 2011 due to the receipt of a one time $1 million insurance payment.
 Other changes in O&M expense in the 6 months period include higher utility operating cost of $1.2 million, higher employee compensation and benefit cost of $0.9 million and higher professional fees of $0.5 million.
 Utility operating costs in the first half of this year include approximately $1.5 million of spending on vegetation management and electrical reliability enhancement programs. These costs are recovered through cost tracker rate mechanisms that result in corresponding increases in revenue.
 Depreciation and amortization expense increased $1 million and $1.4 million in the quarter and in the first half of the year respectively, principally reflecting normal utility plan additions and amortization of regulatory assets.
 Local property and other taxes increased $0.5 million and $0.9 million in the quarter and in the first half of the year reflecting higher local property taxes on higher levels of utility plant and service. Net interest expense decreased $0.2 million and increased $0.1 million in the quarter and in the first half of the year, reflecting normal fluctuations in short-term borrowings and interest income.
 Now turning to Slide 8, as Bob mentioned, we completed a common equity offering in May. We used the net proceeds of approximately $66 million to contribute equity to all of our utility subsidiaries, repay short-term debt and for general corporate purposes.
 The equity contributions provide for a strong balance sheet at the subsidiary level for our utility growth initiatives in addition to creating a higher equity capitalization ratio upon which we earn a rate of return. The common equity offering also significantly strengthened Unitil Corporation’s consolidated capital structure.
 As of June 2012, Unitil’s total debt to capitalization leverage ratio was approximately 53% or about 11% lower than the prior year’s leverage ratio. As a result of the capital raised in the second quarter, we also reduced our corporate credit facility borrowing limit from $115 million down to $60 million reducing the fees associated with this facility while continuing to provide sufficient borrowing availability for our working capital and capital expenditure needs for the foreseeable future.
 We expect to continue to fund the majority of our capital needs with cash flow from operations. In the first 6 months of this year, cash flow from operations was $52.9 million up $6.3 million over prior year.
 Finally turning to Slide 9, we have provided an update of our operating results at the utility operating company level. The chart shows the last authorized return on equity compared to the actual earned return on equity. The chart also reflects recent equity contributions to all of our utility subsidiaries with the proceeds from the common equity offering completed in May.
 With the completion of the rate cases across all of our utility companies, we are bridging the gap between the last authorized and the actual earned return on equity.
 Looking forward, we have put in place longer term capital trackers to recover a significant portion of our future capital spending. During this past quarter, we put a number of these trackers in place.
 On May 1, we implemented a stepped increase of approximately $1.5 million in annual revenues for Unitil Energy, our New Hampshire Electric Utility, and for the main gas division of Northern; we implemented a step increase of $850,000 in annual revenues. On June 1st, we implemented the step increase of about $500,000 in annual revenues for Fitchburg Electric Transmission System.
 Finally, later this year, effective August 1, we expect to implement a cost tracker step increase of about $300,000 to begin the recovery of capital investment we’re making in Granite State Transmission, our interstate pipeline company.
 We expect the combination of the rate relief we achieved this past year, future annual cost tracker rate adjustments and organic sales growth will provide meaningful earnings support going forward. We also continue to evaluate the financial results for each of our operating utilities to determine the need for future rate relief.
 Now this concludes our summary of our financial performance for the period. I’ll turn the call over to the operator who will coordinate questions from the audience. Thank you. 
Operator: [Operator Instructions] Your first question comes from the line of Liam Burke with Janney Capital Markets. 
Liam Burke: Just typically, the customer acquisition activity is the highest during the seasonally slower periods of second and third quarter. You mentioned in your prepared remarks about customer acquisitions from 2008, but how are they coming this year vis-à-vis the trends of new customers? 
Robert Schoenberger: Yes, through the end of June, we’ve increased new services by 50% over last year. So to put that in perspective, I think for all of last year we added between 700 to 800 new services. And I would fully expect by the end of this year that we could come very close to doubling that.  So again, we see robust demand. We’re also doing a marketing study, which we have not completed, to allow us to use our GIS system and other tools to in effect map out the system where the current pipes run and where we have the opportunities to pickup new customers; I would fully expect that study based on preliminary results to show us we have a significant opportunity over the next 5 years to increase our customer base. 
Liam Burke: Okay. And I look at the maintenance CapEx annually at about $20 million to $25 million; with the additional investment in plant, is that number expected to significantly change over the next several years? 
Mark Collin: No, it generally stays in about the same ratio if you will Liam. 
Operator: [Operator Instructions] Our next question comes from the line of Michael Gaugler with BMC [Brean Murray, Carret & Co.] 
Michael Gaugler: Looking through the Q, particularly in the long term debt section, I think you guys have some pretty high debt in terms of interest rates now and I am wondering in the next 12 to 24 months do you have any opportunities perhaps to refinance that to a lower rate? 
Mark Collin: Yes, in the next 12 to 24, we really don’t have a lot of opportunity there Mike; most of our debt was issued in a period where the make whole premium was -- call premium was a fairly standard term in the debt issuances and the provisions from make whole are significantly penalizing and would not make it attractive for us to call any of that debt. 
Operator: [Operator Instructions] Ladies and gentlemen, since there are no further questions that concludes today’s conference. Thank you for your participation. You may now disconnect and have a wonderful day.